Tony Dammicci: Welcome everyone to the MDB Capital Holdings' Third Quarter 2025 Update Conference Call. Thanks so much for joining us today. [Operator Instructions] Before we begin, the formal presentation, I'd like to remind everyone of several important things. Today's conference call is being recorded. [Operator Instructions] Please remember that statements made on this call and webcast may contain provisions, estimates or other information that might be considered forward looking. While these forward-looking statements represent our current judgment on what the future holds, they're subject to risks and uncertainties that could cause actual results to differ materially. You're cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Also, please be aware that we're not obligating ourselves to revise or publicly release results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we'll attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-Q for a more complete discussion on these and other risks, particularly under the heading Risk Factors. A press release detailing these results, which crossed the wire this afternoon is available in the Investor Relations section of our website, mdb.com. A replay of this call will also be available later on mdb.com. Your host today is Chris Marlett, Chief Executive Officer and Co-Founder of MDB Capital Holdings. He'll be joined later by George Brandon, MDB President and Head of Community Development. Chris will lead an update on the Third Quarter ending September 30, 2025. At this time, I'd like to turn the call over to Chris Marlett.
Christopher Marlett: Thanks, Tony. Well, welcome, everyone. Thanks for joining today. I saw it was a pretty crazy day in the market. And so it's been a really interesting period in time to navigate these markets. And I just want to thank all of you that have been supporting us and getting behind us, and we've had a really good last few months as our platform takes shape and as our pipeline builds. And so we're very enthusiastic despite all of the backdrop of uncertainty. So well, one of the things I wanted to do today was talk a little -- do a little bit of a different approach to try and help to explain what we do at MDB, why we create value or how we create value and why we went public because I want to remind everybody that we did this for a very specific reason. And there was a big why, if you will, why we went public. But I also want to recognize that so many of you that have believed in us have lived through the stock really going down. And while the stock is down, we've lived through so many different markets before. And sometimes, when you call me where I talk to some of our shareholders, they think that I'm not too worried about things. One, I'm not super worried, but I don't like the stock being down either. So we really are in this together. But I want to also reiterate that we're not changing what we do just because the market's down. What we've done for a long time has worked, and we think it's going to work again despite the fact that times are changing. There's a lot -- fewer small public companies out there. The small public company market has not been really great. And so we're just as excited as we've ever been, even though things are not unbelievable with our stock at this point. So the last, I would say, 2 years has been very challenging because we've had this great historical success, but it's certainly not reflected in the stock today. We've had 28 years of launching big ideas. And we've had really it's an incredible record that really no other firm has really matched. We've never failed at doing an IPO. There's been times that were super tough to get them done. There's good times, there's bad times, but we've been -- we've -- 100% of them we've ever tried, we've done. And amazingly, of all of our IPOs, 100% of them have traded at 2x the IPO price at some point post IPO. So that means that these companies got public. They did well. They had a chance to raise money. They don't all win forever, but we did what we were supposed to do was really launch these companies that have big potential. And so many of them have reached real significance as far as valuation. And I want to remind everybody that we've published sort of a historical perspective of those companies we've launched in the public markets. So we can remind everybody that this can work. And I think that what's wondering -- what's I think lingering in everyone's mind is the whole concept of, is public venture dead? And I think that I'm super excited because I think we're in sort of a whole new beginning for public venture. And I couldn't be more excited about what we have ahead. And again, reminding everybody why we went public. We really -- for 28 years, we only launched what was at 17 companies, so about one company every 18 months. And it was really -- I think a lot of you saw was sort of a founder-led operation led by me and our team. But quite frankly, people look to me for whether or not they should buy or sell something. And that was not something I look forward to, and I really felt like our results have proven themselves and it could be scaled. But we were really constrained by operational bandwidth. So the funding that we did for the IPO was really to put in a team to be able to scale this operation. And so it's been a proven model, but the big question has been, can we scale. And we really -- our goal is to get to 3 to 5 launches per year, which enables people to build a public venture portfolio because buying one company here or there is not really a strategy. It's just -- we're kind of deal salesmen as opposed to helping people to really build a diversified portfolio in public venture. And by doing that, we can bring our impact and our process to more and more companies. So I think the mission is always to build this operational framework, to make this sustainable and a long-term business that survives beyond the initial founders of MDB. And so that is our mission. We're sticking to it. And I think we're making great progress that I think will become very evident very soon. So simply what we've done, and I've talked to this in the past, is really we curate by looking through thousands of ideas. It does take looking through thousands of ideas to find ones that have that asymmetric profile that we believe is so important. And the reason why we've been able to do what we've done historically, you can't just episodically stumble across things. You have to really get out there and our team has done a great job of getting out there and looking through thousands of ideas. I know a lot of you that bring ideas to us get a bit disappointed sometimes because there's such a small percentage of the things that we actually end up getting behind, but we say just keep bringing them sooner or later, you're going to get better at finding one, and we really appreciate all of the companies that are brought to us by our community. It really is an important part of it. And I would tell you that a very high percentage of the things we do are actually brought to us by our community as opposed to us going out and finding them. Then we position them for success, and that's really the hard work, once we curate them, which is equally hard, but positioning them for success and being able to live in the public markets is really where the platform is really been built. And I'll talk to more of that later in the presentation. But I don't think that, that's really apparent to most shareholders today. I don't think that they really understand what we've built and why we have something that really nobody else has. And then, of course, launching them is the things that you see, which is really when they're ready to go public and trade in the public market. So what for the new people in the community that don't really know public venture. It's really this explosive growth potential of venture stage companies and bringing that public market liquidity and transparency that we now call public venture. We used to have an old tagline that we're bringing back, which I think is really something that we forgot about and really is important to understand what the value that we think that we bring in MDB is that we really see value others don't. Most of these opportunities would not be opportunities to any other firm. And I think that our ability to create value from those is really completely unique and not something that these entrepreneurs and inventors can just find anywhere. So it's this -- it's really this transformative magic of transforming these early-stage big ideas into investable public companies with $1 billion-plus potential. And I think that we've really thought about what it is that we do that adds value so that people understand how we actually earn these equity positions or are able to make this a business. When things come to us, they typically are really exciting, big ideas, but they're really underdeveloped without a clear commercial path. And they don't have an IP strategy or a protective moat around them that's completed. And it's kind of a bit unfocused because it's still early, but can be developed. And as a result, they have limited access to growth capital. And after we're done and they're ready for launch, they really have a clear mission as a new category leader, not to say that it doesn't pivot after they're public. It doesn't mean that it's 100% fully baked as a company, but they're really going to be a leader in a particular technology or business category. And they have a comprehensive IP strategy in a protective moat that we're experts now at making happen. And they really are differentiated and they're public ready for the public markets. And so these companies trade and are valued in the public markets as evidenced by our track record. And when they walked in our door, they really didn't have that capability. So I think that, that's what's exciting about what we do and how we create value for shareholders. And talk a little bit about what were -- that underpinning or that foundation for that is really this these integrated components that stand underneath this whole strategy. And I think that when we first went public, we didn't do a good job of communicating. I think a lot of people really believed that we were operating multiple businesses when really -- it's really one business to support this sort of launch of these public venture companies, stage companies. And it's really the foundation that enables us to provide this value that really nobody else can because there's really no PE firm or VC or underwriter that's built to do what we can do. There's -- we are completely unique, and I would say that, that leadership is clear in this category because just like the companies we're launching, this category of public venture there's -- we don't really believe we have any real competition. And so when you look at all of the services, and again, the -- I'll let you guys read this at a later date, but really, all of the things that we do, you do not find at an underwriter or a VC. And ultimately, why I think this is going to be super important. It's not just the companies that we find in academia that might have a great new technology that we have to formulate into a company, but it's also companies that are more developed like you would see with Buda Juice that we'll be soon during the IPO for, where we really help them to really go public, I mean, and be a leader because quite frankly, they can't just walk into an underwriter, and we provide all these services that enable them to get to that public offering much faster. And so we say 2 to 3x faster, that's hard to really quantify. That's just sort of what we believe. But we can take something like Buda Juice from a very early-stage company that didn't think they can go public. And in 6 to 9 months, really get it ready for going public and have it be super well in demand as a result of positioning it correctly. And so I think that's a big part of what we do. The other part of it is that a lot of times these companies are told it's going to cost you $2 million to go public. And that's just not our reality. We have -- whether it's law firms, accounting firms, et cetera, we have the resources to be able to take these companies public for their total all-in cost for going public outside of underwriting fees is usually less than $0.5 million, which is not something that most people or most entrepreneurs fully understand I think that they -- again, there's big misconceptions about what it costs to go public and et cetera. So to remind you how we create value, it's a combination of the fees and equity that is how the shareholders of MDB make money. And so when we transform these companies, there's some companies like in eXoZymes, which we cofounded effectively with the inventors from UCLA, we have to really work hard to position that company and develop that company from putting together the whole team, the strategy, the IP, et cetera, and that's a very time-intensive process. And those companies, we have more equity in a lot of cases, in the case of eXoZymes, we put also $5 million in capital into the company. Other companies like Buda Juice that you'll see, we'll have underwriters warrants and we'll have underwriting fees. And that -- we don't have as big underwriting -- of equity position, but we also didn't spend as much time, effort and capital to get behind it. It was a very different type of situation. But in all cases, with every company that we end up launching into the public markets, we will have an equity component because we want to bet alongside of our investors. We want to make sure that we're completely aligned with investors at all time and we're never going to be a fee-for-service -- traditional fee-for-service shop because we add too much value with this platform to just charge an underwriting fee like many underwriters. So I know there's a lot of confusion in the marketplace with that because everyone is a little bit different. But it's really just a function of how much time and effort it is to do it. And most importantly, it's making sure that we curate something for our investor community that works. That's always the way we think is, it's, number one, it's got to work, and number two, we have to be compensated fairly for what we're doing. And it's what I love about what we're doing now is that we have a lot of flexibility about the big ideas we can launch. But again, what always stays the same is our category-leading companies, whether it's a technology category or a business category like what we're doing with Buda Juice. So our goal from an operating perspective, and I've talked to you before, we have about $10 million in operating expenses, which is really -- in effect, our operating platform is really seed capital for the companies we're starting and launching because we're investing our time and effort to really position these companies for leadership, and that's really an investment in these companies. And I don't think, again, I don't believe that that's well understood. Even some of our biggest investors they say, well, geez, why do you guys get such a big equity position in some of these things. I said because we're providing the value. And I think that a lot of our co-founders and what have you, if you talk to the co-founders, a lot of these companies, I think that every one of these companies that we've launched and have taken public, I'm not so sure they could have gotten public without us. I'm not sure that they would have been public without us. And so I think that, that's where that transformation on the value creation is so evident. So scale is the issue for us. Obviously, the big difficult lift here is operationally how do we take one every 18 months to get to 3 to 5 year. Well, I really don't believe that the curation is our choke point. What we're seeing as far as opportunities are concerned, we have now a very deep pipeline of opportunities. So I'm not really worried about finding enough opportunities. In fact, even though we are going to be doing more companies, I believe that every one of the ones we launch going forward have a better probability of success than the ones we've done historically. And that's a big statement, and I really believe it comes from the fact that we are now -- we've broadened our team to be able to curate more and effectively analyze more, but I also believe we're just better at picking because we've made every mistake in the book. We've created dysfunctional boards, management teams. We've picked the wrong business strategies. We've picked companies that were -- that went public too early. We've -- like I said, we've made every mistake in the book historically, and I can tell you the one thing that we're all acutely aware of is we don't want to make those mistakes over again. The other major -- so the biggest part -- there's 2 -- really 2 big things that really dictate how many of these we can launch on an annual basis. One is our process because it's really standing up those companies and getting them ready to go public, everything from developing their business and IP strategy, but also getting the narrative and getting the team right, those are hard to do. And that's where the community is so important and we want to broaden our community because the bigger our community is, the bigger the influences, the easier it is to put these companies together. We want to be able to lean on our community more to help us find CEOs, board members potential joint venture partners for these companies. And so that community is critical to that process. But also the community is important from the perspective of really investing in these companies. And I think that in good times, it's much easier. We found sometimes in good times, we send an e-mail and we've got 3x over demand for an IPO. In bad times, you call your friends and they cringe when they see the color ID, right? So it's very cyclical depending upon the markets. But we've managed to continue to grow that community and work on that because we know that the more the people are exposed to public venture relative to all the things they can invest in that it just makes sense. And so we just have to continue to build it. George is doing a great job in the team and Tony and all the rest of the guys that are part of the whole community team. They're doing a great job. And every day, we're out there making new friends and it's really quite fun and we're seeing great progress on that front. So I think that's becoming evident as we're seeing the pace really pick up. And I think that we're excited because for the first time really in our history, we're going to be closing -- well, highly likely to be closing. We've received all the funds for Paulex and we'll be announcing the closing on that here shortly. And then Buda Juice, we expect to be priced here in the next couple of weeks, hopefully, if the SEC can hurry up and get back to work and get those comments in. So it will be the first time we've ever done 2 company launches in one quarter. So I'm pretty excited about that. But not just that, we've got a number of other companies in the pipeline, and I think we've got a very active calendar going into next year. So I think that there's 4 to 5 companies in late-stage negotiations. So I really believe we have a shot at making that 3 to 5 launches next year. I'm pretty excited about that. I also think the Microcap is going to make a major recurrence. I'm making a market call here because it's been such a horrible last few years for Microcap. But I'm making a market call that the transparency and liquidity that exists in the public markets is going to become a cool thing again. It was funny. I got a call from a very old friend in Indonesia, a very wealthy guy that has businesses in Indonesia. And he called me up and he said, Chris, I want to go to NASDAQ. And I said, well, why do you want to go to NASDAQ? And he goes, well, he goes in Indonesia, he goes, if I take my company public, I'll trade 10x earnings. He goes on NASDAQ I'll trade 40x earnings. And I was like that's pretty profound. Well, I think that, that's what you're seeing start to have happen is there are so few companies on NASDAQ now, these small companies that have any kind of revenue and earnings that are in the Microcap space are very highly demand. There's very few companies left in the U.S., ironically. So many of them are going to private equity route, the VC route, the PE route. And now you can talk to all the family offices and what have you. Nobody wants to allocate to that sector. But where can they get price transparency, liquidity, et cetera, it's public markets. And so I'm a huge believer that we're probably on the doorstep of really this taking off in a major way and I couldn't be more excited about being in the business at this time. So the third quarter financial update is pretty straightforward. Our goals, as I mentioned, are really to offset our operating expenses with financings. So we've used about $5.9 million for the first 3 quarters. We'll have a fair bit of revenue in the fourth quarter that will send that in the other direction for the balance of the year. And so I expect that we'll have a good fourth quarter, and we'll start to see that we're -- our OpEx are starting to get covered by the number of finances we're doing. In addition, more importantly, we're going to have important equity positions in Paulex Bio and Buda Juice that really give us, all of our shareholders' big equity upside going forward. And as always, we're trying to be very cautious with our OpEx and making sure that every dollar counts. And the team has done a great job. There's been -- the team has really dug in, working hard. I mean everybody on the team is been committed, and it's been a tough slog guys. It's been really tough, but we have a great group of people all across the organization. Everybody is really -- I couldn't be more pleased with everyone's commitment, and we have an unbelievable team as many of you know. And I think that we have significant equity holdings that are really unrecognized in our stock price, which I'll talk about in a little bit. So when you look about -- look at our stock being undervalued, if you take the eXoZymes position, the HeartBeam position and our cash, the market value is significantly higher than the market value of our stock right now. And that comes from, I think, people just being worried that, in fact, maybe public venture is dead, maybe MDB lost their touch and they can't figure it out how to navigate through this market, what have you. It's a commentary that I'm not proud of, but having lived through lots of cycles, I know that it can change and be on the other side of the equation, and we can be trading at a premium to our equity value. So I don't take it personally, but it does hurt because I know a lot of you bought the stock at higher prices. And we're trying to rectify that as fast as possible. And I can tell you the team has dug in to make sure that, that happens. But some things that aren't valued in the stock prices is really patent, which were we've made the decision to spin it out, and I'm super excited about having the first -- potentially, the first public law firm in the United States, and it couldn't be in a better sector, which is patent law, which is a federal practice. We'll talk a little more about it in the future, but I do believe that is an undervalued asset that's not valued at all on our balance sheet right now. And the other thing is we've been contacted by a number of people that want to be in the clearing business or associated with the clearing firm. And so I think there's a lot of potential value in our clearing platform as we move it forward. And so those are 2 assets that I think have significant value that can even be -- we can realize some real significant value. But I want to talk -- touch on a couple of the companies that many of you own stock in and of course, MDB owns a lot of stock in, which is eXoZymes and HeartBeam. I couldn't be more proud of the accomplishments that those companies are making, albeit not necessarily 100% recognized in their stock prices, but eXoZymes is making unbelievable progress and their platform is really going to be transformative. And really, you're going to see this, I believe, in the very near future. that we're going to see a new paradigm in pharmaceutical development enabled by their synthetic biology platform. And you're going to see that in paradigm-changing companies that will get spun out of eXoZymes and we're hoping to -- that gets sort of unveiled here very shortly. It's been a long time coming, but I think we're very close to making that happen. And HeartBeam, it's been a tough road to get through the FDA. But hopefully, we're right on the verge of FDA approval and it's -- it really is a life-changing opportunity in health care in the sense that now you're going to basically have a virtual cardiologist in your pocket at all times. If people carry this around, they're going to be able to get a 12-lead ECG to their doctor or to a cardiologist instantly. What does that mean? That could save millions of lives, millions of lives. And it's never been done before. And I think that hopefully, this FDA approval gets through and we get this product launch because it's a game changer. And both these companies I'm super proud of and I'm super proud of our team for helping get these companies launched. It really is an exciting time, even though it's been a tough market. These are game-changing companies that we couldn't be more proud of. So just to reiterate, we closed 3 to 5 deals a year. We really cover our operating expenses. And then as you can see, the equity that we earn in a company that we cofounded with Francisco Leon, and Miguel, we own a significant part of that. We really helped put together the license at Mount Sinai, and it's been a lot of hard work, but I really want to thank all of our investors that believed in us to get behind the launch of what could be a really game-changing company. So it was a long time coming. But again, it was the fortitude of our team and the belief from our investors that are making that launch possible. And I want to thank everybody that participated in. So really in summing up, I think that I want to remind everybody, we really have, in my mind, the only real public venture platform. And we have such a unique team of people. We have such a unique process that I believe is going to give life to lots of meaningful companies. And by being a shareholder, Obviously, in tough markets, it doesn't really matter that you have access to the deals. A lot of people have access to the deals. But in a better market, like I think is coming along, as a shareholder, you're going to have preferred access to each one of these opportunities to invest in. That's, I believe, an important reason to own MDB. And again, our proven execution historically, and I think our momentum is a great reason to start thinking about owning the stock if you don't own the stock already. And we have a lot of hidden value. Our economics are scaling as we get more companies through the pipeline. And I think we really have a moat around our business. They're just, I think, we are in a class unto ourselves in what we do. And so I think that, that gets recognized by companies looking to go public or looking to be positioned as a market leader. And I think that the timing couldn't be better to be a shareholder. I think that hopefully, we're seeing some shifts in the marketplace and people coming back into public venture. So as Tony said, our model has proven, the machine is scaling and the window is opening. So with that, I want to thank everybody and open it up for questions.
Tony Dammicci: [Operator Instructions] And at this point, I'd like to welcome George Brandon, MDB's President and Head of Community, who will facilitate the Q&A session. So George, welcome and take it away.
George Brandon: Okay. Chris, first question you're going to get it on every conference call. Can you give a little bit of your philosophy on when shareholders could expect to see a dividend, a little of your philosophy on eXoZymes. Obviously, that's performing really well. When would you think we would -- there would be a distribution? What's your philosophy there?
Christopher Marlett: Yes, philosophy is we want to see that the company is out and really there's a developed market for the stock. And we don't want a dividend to get in the way of the development of the company. And so right now, the volume is pretty low in eXoZymes and what have you. And I think it's really just a matter of once the company's business model and execution is really clear. There's a broader market for the stock. It would make sense to do a distribution. And so I can't make any predictions, but I think our philosophy is to make those distributions when the company is broader ownership and more trading volume.
George Brandon: So a question to follow up on that. If -- as Obviously, eXoZymes is going to be raising money. However, they're going to do that, whether it's a spinout or a new technology. Do we expect MDB, do our shareholders expect to retain the same percentage of ownership as they raise funds? Or how do you see that working out?
Christopher Marlett: No, any time you buy a public venture company, they're going to need to raise more capital. and we as shareholders are going to be diluted. Obviously, the better the company does, the less dilution that we suffer. But yes, there's always dilution as companies raise more money and -- but we always work to make sure it's as little as possible.
George Brandon: Let's move over to HeartBeam. Look, we're hoping, as they've said on their conference call, they expect to get FDA approval you can look at their balance sheets, how much cash to have. How do you see that playing out, and what do you see MDB's role in and around that? We certainly have right of reverse refusal on funding, just a question on that.
Christopher Marlett: No. Listen, I think I think that the philosophy of the Board of the companies has been -- we have to be able to tell people what's going to happen with the FDA before we do raise more money. And I think that, obviously, the FDA is dragged out a little bit longer. But I think we're hopefully at the finish line here. And after you take the uncertainty of FDA approval will be the first 12 lead, first carrying your pocket 12-lead device ever approved by the FDA, which people understandably are skeptical that, that would happen. And so I think, hopefully, that happens. And then I think we take that off the table. And now it's just makes it a lot easier for an investor to make a decision whether they want to invest or not.
George Brandon: Got it. Look, we did a whole slide on kind of why I think the stock is where it's at and what's in the portfolio. But the question is, hey, look, we talk about creating value. For those that did the IPO at 12, we're down here in 340 or so. What's your thought on why we're trading where we're at. And I know this is just -- you don't have a crystal ball. You can't see into the hearts of those who own your shares. What's you're kind of -- doing this for a long time, what -- if you were to summarize that -- those reasons, what would they be?
Christopher Marlett: Well, I think that the #1 reason is the market for Microcap has been pretty bad. There haven't been -- hasn't been a great space. That's probably the #1 reason. Number 2 reason is that people are -- because of that, people are saying, well, does MDB lost it? Do they have the ability to pick good stuff anymore. Do they matter anymore? And that's a totally legitimate thing. I think the other part of it is now we're getting into -- you're tax selling and people can sell stock and offset their NVIDIA gains with their MDB losses, right? And so I think there's bound to be some tax loss selling. And I think it's -- every one of these companies that we quasi modeled ourselves after at some -- they went -- they would trade from big discounts to big premiums depending upon how people felt about the company at the time. So one of the great companies in the public venture launch business was Safeguard Scientifics back in the '90s, and they would go from trading at a discount to trading at a premium of their liquidation value pretty regularly. And that's just -- it's kind of like a holding, sometimes you get a holding company discount, sometimes you get a holding company premium just purely based on how people feel about you at the time.
George Brandon: Yes. Here's a question on -- you made comments on you're bullish on the Microcap market. Certainly, I'm out there. I was at a conference with Keiretsu yesterday in Philadelphia. A number of the companies basically pushed back ongoing public early as the expenses of that. You talked about it a little bit more. Can you give a little bit more color of what makes you think that, that the cost of being public, whether accounting and legal, regulatory, is trending in a way that's positive for more listings.
Christopher Marlett: Well, I think that it all comes down to how they're valued in the market. So right now, the companies that are profitable and growing in the Microcap sector are trading at big valuations. They're trading at last time we looked 1.15 PEG ratio. So if they're growing at 35%, they're going to be -- or 30%, they're going to be trading at 35 or so times earnings. And that's higher than what private equity firms are going to pay or and so it just makes sense for them to go public to raise additional capital and -- or if shareholders need liquidity or what have you. So we see it as that -- and there's very few of them out there when we did the screen of companies making a $1 million or more, growing at more than 10% and under $300 million in market value there was 34 companies. If you screen for foreign companies, we just did a foreign screen, and we had like 4,000 companies that fit that. And that's why a lot of these companies are going to want to come to NASDAQ. And they are you're going to see I think a delusion of these companies coming to NASDAQ. And I think we also have an opportunity to find some leaders in foreign markets that want to come public in the U.S. The other aspect of it is what's happened in the private equity, private debt and VC markets has been really amazing to watch. If you look at VC activity today, the big VCs, what are they doing? They're funding these big unicorn AI companies, they're putting in $100 million at a $5 billion valuation. And they're not doing anything like -- they're not putting $3 million or $4 million in a promising medical device or a biotech company right now. And even the ones the big VCs that are still doing the life sciences, they're writing $100 million checks for these opportunities, which we think is just crazy because we don't think that writing a $100 million check for an early-stage company makes a lot of sense. And I think that that's shown in the performance of these funds. And so I think that the investors are not going to be funding these funds much more, whether it be private equity, private debt, what have you, these things, we're now seeing in the private debt market. Companies that they had their debt marked at par. And next day, it's 0. And if you have publicly-traded debt today, you get marked every day. And I think that investors don't want -- they want the transparency and liquidity. I'm in these -- I'm in one of these men's kind of networking groups where we talk about investments. And if you were -- in these groups 2 years ago, they were all talking about these private equity deals we're getting into, I can get you into it, what have you. I can tell you right now, they're not talking about it at all, and you've been going to the Angel conferences and nobody wants to put money in private deals anymore. So I think that -- I think we're going to see a dilution of companies who want to go public. And it's just -- we couldn't be better positioned.
George Brandon: So little -- look, I think a little confusion in our history has been big ideas, mostly deep tech. We're still looking at deep tech and doing deep tech technology, big ideas. But the comment here or the question is, but yet our next big idea is a juice company. And one of your questions are, are fruit juices popular now. Can you delineate a little bit. We've got the venture side, we're competing against venture using public venture. But then against private equity to take the best and the brightest from private equity, such as Buda because Buda had a bid from private equity, and we're taking that deal. Can you kind of delineate deep tech versus some of these private equity deals?
Christopher Marlett: To be 100% transparent. I mean Buda was a friend -- the CEO is a friend, and he was telling me the story about his company. And we were paying out and sort of pulled together, and he's telling me about it, and he's considering you in private equity. And I said ratio, I think you're a leader of a new beverage category, right? Fresh juice is in less than 5% of markets in America for a reason, you're going to be able to bring this fresh juice to every supermarket in America. I said that's a new category. And anybody that's had pasteurized juice versus fresh juice knows the difference, right? And so it's a category leader, number one, if it's not a category leader, we are not taking it public. That's number one. It will never -- it's usually a technology category. Then you marry the management expertise at the Board level and at the investor level at Buda, these guys created fresh. There's a moat. There's a moat around it, right? These guys know how to do it. You're not going to see PepsiCo go into this business anytime soon. If they're going to go into it, they're probably going to go in it because they buy someone like Buda. So the guys that pioneered fresh, which is now going to be a monster category because anything that's not fresh you can buy from Amazon now. So the reality is that we're launching a category leader with a moat around it in our mind, okay? It's not an actual note like we have with IP with all of our deep tech companies. But there's going to be companies like that, that we can launch that belong in a public venture portfolio, somebody was real funny. There was another -- I won't name the name of the company, but there's another company going public in the, let's call it, the food category that is doing $200 million in revenue. It's backed by private equity type folks, but it's losing a lot of money, right? And it's going public at $1 billion valuation. It's big, right? And so we have a small company, no one thought, geez, these small companies shouldn't go public, but it's profitable. If it's profitable when it's small, just think what happens when it's big. It's like when it gets big, it's going to be even more profitable. And so it's an extraordinary business opportunity. And again, that's what we do is we curate these extraordinary leaders, and that's what our team is doing a great job of doing.
George Brandon: Yes. So these profitable companies, this question doesn't apply to it. But can you just give kind of a back of the envelope, when you do a big idea and what you've done in the past, how long it typically takes those companies after they've IPO-ed to establish themselves economically. What have we seeing?
Christopher Marlett: Again, I encourage everyone to read the paper that kind of gives a back story on all the companies we've launched historically. But some of them developed very quickly. The stocks do very well quickly, depending upon if it's the -- it captures people's imagination right out of the chute. Some of them take longer. And it's just -- it's really tough to say. And a lot of the things we're doing in biotech, the valuation metrics have nothing to do with revenue. It's all around clinical development. And in some cases, it's revenue that will drive the valuation. But again, it's just -- it's the asymmetric returns that we're looking for. And I think we're old enough. You and I have been doing this for what, 40 years now. So we know when we see it. And we're -- we know what has asymmetric return potential, and we focus in on it.
George Brandon: I'm not so sure I know when I see it, which is why I'm asking the question, so I can't answer. So, can you give us some clarity on the PatentVest spinout? What timing one -- best as you can tell, what's the potential over time revenue-wise? And what kind of market value do you think we can see? And how has that been now going to look to shareholders?
Christopher Marlett: I'm not going to make any predictions on market value, but I think it could be -- other than to say that it could be seriously substantial. And here's why. So currently, the practice of law, there is not a lawyer you will meet in any practice of law. That isn't completely concerned about how AI is going to have an impact on their business. I can tell you that everything we do from drafting contracts to getting advice now is happening realtime with AI. And I can tell you that law firms are going to have a big, big dent in their revenue line from AI. So when you think about the disruption that's going to occur and how the practice of law is going to change, it is going to be a massive disruption. And I don't think anybody really disagrees with that. The interesting part about what we did, either we were smart or we were lucky is by believing that the ABS program in Arizona might be a great way for nonlawyers to be in the practice of law to align our interest with the clients and specifically focus on IP law because IP law is -- IP prosecution about a $25 billion a year business. that has not been a great business for the major law firms. But it's a $25 billion of your business that is a federal practice. So whether it's litigation or patent prosecution, it's a federal practice. Why is that important? It's because the -- a lot of the states and the lawyers in these other states don't want to lose business to an ABS law firm. But because it's a federal practice, you can -- anyone can practice patent law in any state. So the reality is, is when you look at what ABS represents as an opportunity, when you marry AI and the ABS platform patent law is by far the best business to be in if you're going to be in Arizona with these ABS law firms. And in fact, now you've got people like KPMG and other major consulting firms figuring out, hey, we need to start an Arizona law firm. I can tell you that -- and then now you marry AI with this and our ability to take PatentVest and put Agentic technology or large language models on top of our existing patent data, we have the ability to provide unparalleled support for those, I call them in imprimatur attorneys. So now if you're an attorney that wins in the court room, you're an attorney that really knows patent strategy, you now have the ability to do what you do even better, more efficiently, more importantly, efficiently. So you could see a patent litigation, a patent litigation that would normally cost $10 million to get to trial costs $5 million if managed properly. What does that do? It completely changes the economics around litigation. It also changes the economics of whether a firm can take something on contingency or not and align their interest with their clients. That's a game changer. We are going to be at the forefront of that, and we're going to be a leader in making that happen in the field of IP law. And that's what's so exciting. And we're having discussions with, I would call it, these imprimatur lawyers that -- where they see the ability to partner with PatentVest or join PatentVest to basically participate in the disruption of patent law. And so it's a big, big deal.
George Brandon: Look, we got about 5 minutes here. And the questions are piling up. I'm not going to be able to get to all of them, but I'll try to answer them privately, if I can. I guess one of the questions here does MDB need more robust investor relations efforts to address enterprise stock given the value of eXoZymes and beat and the other positions in our portfolio. And...
Christopher Marlett: Yes. I would tell you, yes is the answer, but it's not -- I think it's upon us to go tell the story more. So we've been heads down. We're not -- we don't have a very deep organization, people-wise, we're very efficient. And we've been really focused on just launching new companies and really keeping our heads down in a really difficult environment. And to some extent, I feel like you're pushing on a string when people don't want to buy Microcap stocks anyways. But I think that, yes, we need to get out and tell the story more broadly. We went to our first Microcap Conference, the LD conference -- LD Micro Conference. It was great. I went and saw people I haven't seen in 20 years. Unfortunately, the people buying Microcaps the average age was older than me. And so I think that a new generation of investors are going to start to get involved hopefully in this space. And I think that it was great. I got up and gave a presentation. We have, what, 20 one-on-one meetings, George and I did. It was great to talk to people, and I think we need to do more of that. Selectively, I do spend most of my time working with these companies to get them launched. But we do need to spend more time out talking to people. And Investor Relations, what I've found is have a great business, communicate it well and communicate it often. We're trying to do a better job of communicating it well. We're doing a better job of making it a good business. It's been a great business historically. It's been a really bad business the last few years, and communicating it often, we're working on so...
George Brandon: So we've got about 3 minutes here, Chris. But a question -- I get it a lot out there on really eXoZyme, we really thought that we would have a few deals in the bag here. And where we're at right now, and I know you feel very comfortable with the management there and where they're going and the opportunities. Can you talk a little bit about when you kind of, one, why you think it's taken longer than what we had originally anticipated? What was kind of the shift there? And two, why do you think it's -- we got a bright future ahead?
Christopher Marlett: I think it was a pivot that probably wasn't communicated as clearly as it could have been. And the pivot was you're out talking to people that want to make new molecules in pharma and other businesses. And they can give you a fee-for-service business where they'll pay you some amount of money to get started and you can spend a lot of time talking to them. If you look at the other Symbio companies and provided services or enzymatic people like Codexis and others, the business models were pretty challenged. And we came to the conclusion that we can make molecules that other people can't. So is it a better business model to launch new companies based upon that? Or is it a better business model to do fee-for-service and try and get license fees from other people. And we decided it's better to launch companies that have a ton of value. So we have 2 platforms that we think we can launch out of eXoZymes that have $1 billion market value potential. So in other words, every company that we launch out of MDB we believe, has $1 billion market cap potential. We have 2 more that we can launch out of eXoZymes that we believe have that, that are massively game-changing. And so there was a pivot. What does that mean? Now it's get those companies stood up and then those companies will go and do license agreements and partnering after they've developed a bit more. And I think that that's been the shift that hasn't been communicated. But I think Michael is doing a great job and the team at eXoZymes is doing a great job of positioning the company for success. I think it's going to become fairly apparent, fairly soon.
George Brandon: Actually, I don't know if people are aware, but our former partner Lou Basenese did a great interview with Michael last week. I think it came out a couple of days ago. It really kind of goes through that what you just described in 30 minutes. I think they did a pretty good job explaining it. So that's an asymmetrical upside on those 2, whether it's cannabinoids or NCT. That's -- you're about ready -- we're closing in the process of just closing and announcing in Paulex. Can you talk about -- this last the question, we're out of time after this, Chris, but elevator pitch, why is that asymmetrical? What do you like about it? How much we're going to own of it? What's the game plan going forward?
Christopher Marlett: It's super simple. This pathway that has been focused on by the folks at Mount Sinai and others, which basically takes breaks off of being able to produce beta cells is -- we've got a drug that we believe is the best drug for this pathway to enable beta cell production. It's quite frankly, if you can reinvigorate beta cell production and produce insulin. It's the biggest thing going. So the asymmetric upside is -- it's super straightforward. It's a $40 million post-money valuation after Phase Ib, which should be about a year, we start producing beta cells in patients. I'd be shocked if -- it's got to be a multibillion-dollar valuation. So while it is a bit risky, the upside -- you get paid with the upside. And I mean, it's significant. And we've got an unbelievable team. These are the guys that made prevention worth $2.9 billion in the sale, and we get to partner with them again. And I'm not saying that this is going to be the only drug. We might have another drug come into the pipeline, but these are the kind of guys that can execute clinically. One, they've got great pickers. They have the ability to pick something great. And number two, they have the ability to execute, get it through trials and get it to success. So we're super excited to be partnered with Francisco and Miguel. We think that they're superstars and we own a nice chunk of this company. I think it's going to be 6 million or 7 million shares. So I don't know if...
George Brandon: What's the timeline on it, Chris, how long we got to wait to figure it out?
Christopher Marlett: I think don't quote me exactly, but it's -- we'll be in the clinic next year, and we'll start to get clinical results pretty quickly.
George Brandon: Well, with that, that's the last question. I didn't get to all of my, tried to reply specifically if you didn't hear the answer to your question, hopefully, there's a reply in your Q&A. Appreciate all the questions, very great questions. And I'm going to throw it over to you, Chris, to close it. And Tony, you can take it from there.
Christopher Marlett: All right, everyone. Well, thanks again for hanging in there. It's been a great time. The team has done a great job at MDB, we're slugging it out to make this a big success. So we're excited for the future. And we want to thank you for being here and hanging in there and being part of the community. So thanks again.
Tony Dammicci: And thank you, everybody, for attending today's presentation. This will conclude today's conference call.